Operator: Good afternoon. My name is Christina, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Citrix Systems' Second Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. Thank you. I would now like to introduce Mr. Eduardo Fleites, Vice President of Investor Relations. Mr. Fleites, you may begin your conference.
Eduardo Fleites - Citrix Systems, Inc.: Thank you, Christina. Good afternoon, everyone, and thank you for joining us for today's second quarter 2017 earnings presentation. Participating on the call will be David Henshall, President and CEO; and Mark Coyle, Interim CFO. This call is being webcast on Citrix Systems' Investor Relations website. The webcast replay will be posted immediately following the call. Before we begin, I want to state that we have posted product specification and historical revenue trends related to our product groupings to our Investor Relations website. I'd like to remind you that today's conversation will contain forward-looking statements made under the Safe Harbor provision of the U.S. Securities law. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Obviously, these risks could cause actual results to differ from those anticipated. Additional information concerning these and other factors is highlighted in today's press release and in the company's filings with the SEC. Copies are available from the SEC or on the company's Investor Relations website. Furthermore, we will discuss various non-GAAP financial measures as defined by SEC's Reg G. A reconciliation of the differences between GAAP and non-GAAP financial measures discussed on today's call can be found at the end of today's press release and on the Investor Relations page of our website. Now I'd like to turn it over Mark Coyle, our interim CFO. Mark?
Mark M. Coyle - Citrix Systems, Inc.: Thanks, Eduardo, and welcome to everyone joining us today. As you can see from the release, Q2 results from continuing operations were as forecasted. Revenue was up 3%, adjusted op margin was 26%, adjusted EPS was $1.03 a share, and deferred revenue increased 13% year-on-year. In Q2, we closed 76 $1 million-plus transactions which strengthened technology, financial services, government and healthcare. There was good balance across the portfolio with approximately two-thirds of these deals coming from Workspace Services, including the full suite and the balance from networking and SaaS. Next, looking at the Q2 results within our primary businesses, our Workspace Services business was up 3% year-on-year to $421 million, with product license revenue down by 3% year-on-year due to subscription mix. A few dynamics worth noting include in the quarter the contribution from subscription contracts was about 30% of product license bookings versus approximately 20% in the previous quarter. We had strong growth of CSP subscriptions where total revenue in this area grew 34% year-to-year with an ARR now at approximately $100 million. From a geo perspective, license revenue growth in EMEA and APJ was up 21% and 12% respectively, while the Americas was down 17% in the quarter. And finally, we continue to see good results from recently launched customer success services, the redefined software maintenance programs we announced at the beginning of the year helping drive deferred revenue. In the networking business, total revenue increased 1% year-to-year in the quarter to $197 million with license revenue down 5% year-on-year, mostly due to portfolio optimization we did in 2016. I'll remind everyone that the NetScaler business is essentially made up of two main segments: cloud infrastructure and e-commerce, and enterprise ADC. In the quarter, cloud infrastructure bookings were up about 14% year-on-year. We continue to expect growth to improve in the second half due to easier comps and our focus on expanding the base. The enterprise ADC segment bookings increased double-digits year-on-year in Q2 due to the capacity and management investments we made in the second half of last year. Note that this included a couple of multimillion dollar term-based deals for pooled networking capacity. All in, we sold to about 2,200 networking customers in the period with approximately one-third of them being new. Finally, our SaaS revenue was up 27% year-on-year to $42 million in the quarter. While the bulk of this is coming from ShareFile, demand for our subscription-delivered Workspace Services products is accelerating, also building contractual backlog from long term deals with annual billings. When we include revenue coming from Citrix service provider subscriptions plus our core cloud-based services and the annual term license, the aggregate ARR was over $290 million in Q2. We expect the trend to accelerate this year as more of our portfolio is available as a service in the Citrix Cloud. Turning to operations, in Q2, adjusted op margin was 26%, down 270 basis points from last year. The difference from last year represents capacity investments in sales and services, and the increased demand for subscription versus perpetual offerings. Cash flow from operations was $164 million from continuing operations and deferred revenue increased to $1.7 billion, up 13% from last year due to the strength of customer success services and subscription-based sales. Exiting Q2, we had nearly $2.4 billion in cash and investments on the balance sheet which was up 13% year-on-year. So, with expectations for cloud adoption and subscription-based sales to increase as a percentage of our mix, we expect the full year 2017 revenue to be between $2.81 billion and $2.83 billion, adjusted EPS of $4.60 to $4.65 per share. For Q3, we expect revenue to be between $685 million and $695 million, adjusted EPS of $1.02 to $1.05 per share. Now I'd like to turn it over to David to give further color on the quarter and our focus areas looking forward. David?
David James Henshall - Citrix Systems, Inc.: Thank you, Mark, and welcome to everyone. I'm excited to join you today in my new role at Citrix. As you can see, the business results are strong. As Mark shared, top line revenue is in line with our forecasts, growing 3% year-on-year, but that alone really doesn't tell the full story. When you look at bookings and deferred revenue, we saw a significant acceleration in our business last quarter, including 76 deals over $1 million of which nine were for Citrix Cloud. We can directly see the model shift when measuring the percentage of product bookings in the quarter that came in as subscription-based versus perpetual. In Q2, this mix of subscription doubled year-on-year to 30% of the product bookings mix, driving the increase in deferred revenue, which as Mark mentioned, over $1.7 billion, up more than 13% year-on-year. In fact, the total contract value of bookings for Workspace Services was up more than 10% from last year with an average contract duration approaching three years. We're also beginning to see this move show up in recognized SaaS revenue which is growing quickly, up 27% year-on-year, and we expect to accelerate throughout the back half of this year. Up until now, we've been trying to gradually manage this move to a more subscription-based model, but the rapid shift in demand from customers is showing that we need to be much more aggressive and speed up this transition moving forward. The faster-than-expected shift is a strong indicator of our customers' belief in our long-term vision. They want their infrastructure to run in either a hybrid or a SaaS model. Our holistic approach gives customers the confidence that they can transition to the cloud at their own pace with Citrix and have the future flexibility to access cloud-based innovations that their businesses are going to need. The move to subscription is obviously impacting the P&L in the short term for both revenue and margin. As we work on the plan to move faster, we're going to do so with a commitment to operational efficiency. We're recognizing that OpEx is up significantly over the last few quarters, as Mark mentioned, both from variable expenses as well as investments in multiple areas of the company. Looking forward, our goal is to manage the business closely through this transition so that we can both accelerate our move to subscription while balancing op margin both over the medium and long term. We're currently working on a multiyear plan including capital, and we expect to share these details and metrics on the Q3 call. Citrix has a mission that has remained largely unchanged for nearly 30 years and we have a strategy that is clearly resonating with our customers. It's now our job to be more intentional about the transformation needed in all areas of the business to drive solid growth and profitability into the future. Looking at our products, I believe we currently have the strongest product portfolio and roadmap that I've seen in my tenure with the company. Our desktop and app business is accelerating because the cloud and hybrid approach gives customers the flexibility they want, along with the growing need for security-use cases. We're seeing this especially with large competitive wins worldwide, particularly in education and healthcare during Q2. For example, a large U.S. health system and a major Korean university chose Citrix to better manage their cloud transitions while maintaining the security and compliance needed, and alleviating growing concerns around ransomware and malware within their organizations. In the networking space, we're seeing our Enterprise segment bookings grow in the double digits because of our capacity investments, as well as our software-based architecture strategy. Organizations are clearly going to evolve their networks to a more software-defined perimeter approach over time. And since NetScaler is a software platform, we're very well positioned to meet our customers' needs well into the future without forcing them to go through a complex and expensive hardware refresh cycle. For example, Masonite International, a large building products manufacturer, was facing an end of life on a competitor's hardware platform this quarter. They weighed upgrading with that competitor with switching to Citrix's NetScaler, ultimately choosing NetScaler with the addition of XenApp citing both Citrix's product integration capabilities and the completeness of vision to help them well into the future as unmatched reasons for this switch. Looking at our partnerships, our product alignment with Microsoft is driving real results. This quarter we saw many large joint customer wins for Citrix Cloud with Microsoft Azure driven by the strength, usability and simplicity of our solution. Arizona State University, for example, which is currently undergoing a hybrid cloud effort as part of a new Cloud first IT initiative is just one large example. In addition to that, one of the world's largest advertising, marketing and communications agencies, as well as one of the world's largest professional software firms both chose Citrix Cloud on Azure in multimillion-dollar deals driven by cost, efficiency and security concerns. A professional services firm needed an IT environment built from the ground up for one of its divisions to meet U.S. government regulations, and they cited Citrix Cloud on Microsoft Azure as the single easiest and most secure way to mobilize their workforce and meet their regulatory compliance needs. And the work that we're doing is extending to other partners as well. This quarter, we announced an expanded partnership with Google to bring Citrix Cloud's desktop and application delivery and NetScaler CPS to the Google Cloud Platform, and to better integrate ShareFile and the security and control that we can offer with the full G Suite of solutions. And just this week, we'll be announcing the availability of Citrix SD-WAN 9.3 with an extended partnership to make it available on the AWS marketplace. This is just the start of the investments to offer customers choice and flexibility into how they manage their IT environments with any platform provider. From a competitive standpoint, we had more than 1,100 competitive wins in our core areas. For example, M&T Bank replaced a major competitor of XenMobile because of better user experience and features like single-touch desktop access and our ability to securely integrate with our existing NetScaler infrastructure. In fact, several customers also replaced networking competitors with NetScaler, including Telecom Italia, citing superior performance, usability, stability and overall scalability as the driving factors in these large deals. And overall we're also seeing several big desktop replacements when displacement transactions, including one of the large medical foundations, a major hospital system and a large services company, driven by the advanced performance and quality of our solutions and the unique Citrix-only capabilities like integration with ShareFile to deliver a complete workspace solution. So to sum it all up, business is strong. We recognize that our profitability is getting pressured by the cloud transition. Going forward, we're going to manage both the transition and efficiencies in a balanced manner. We have, clearly, work to do, but you'll see our response over the next several quarters. Additionally, we're working hard to align the entire company towards a multiyear cloud transformation, and as I said, after Q3 of this year, we intend to share new metrics and our multiyear plan so everyone can better understand the rapid pace of our evolution, the demands we're seeing from our customers in our hybrid cloud vision. Thank you very much. And as always, we look forward to your questions.
Operator: Your first question comes from Rob Owens with KeyBanc Capital Markets.
Rob Owens - KeyBanc Capital Markets, Inc.: Great. And thanks for taking my question, guys. Within the Workspace Services group, as you move to more subscription, are you seeing a lot of new customer capture? And maybe you can give some examples on that front versus kind of a shifting installed base of maybe legacy folks that then moved to SaaS at a higher reoccurring ARR. Thanks.
David James Henshall - Citrix Systems, Inc.: Sure, Rob. It's David. The quickest way to answer that is just look at the mix from Q2. Just about 85% of the mix was coming from new customers or maybe existing customers with new use cases. The remaining 15% was coming from an installed base that was just doing a migration. So at this point in time, the vast majority is net new. It's the way we've designed it for this year, one of the reasons why it's impacting the top line as much as it has been.
Rob Owens - KeyBanc Capital Markets, Inc.: And then secondarily, at your Analyst Day you laid out a product roadmap with more of a security value proposition and kind of some newer offerings with some changes in leadership at the company. Any changes to those plans or timing of such?
David James Henshall - Citrix Systems, Inc.: No. None whatsoever. I mean, we haven't had any change in leadership across our R&D and innovation engine. In fact, it's stronger than it has been in many, many, many years now. We've got two great leaders running both product and engineering, and we've recently gone through a unification from an org model standpoint to bring together all of our product and engineering efforts. And the driver there is really just to allow us to move faster, to deliver integrated solutions both on-prem and the cloud, and I feel really good about our roadmap. We're releasing a number of new capabilities. Just released like, for example, a NetScaler software web gateway, which is a web security solution with user behavior analytics built into it. It's an extension of really what we're doing across the broader NetScaler platform, leverages mass and various other web services like threat intelligence, et cetera. So we're working hard across all those fronts and I think you should expect to see more innovation coming from us as you go forward.
Rob Owens - KeyBanc Capital Markets, Inc.: Thanks, David.
Operator: Your next question comes from Philip Winslow with Wells Fargo.
Michael Baresich - Wells Fargo Securities LLC: Hi, guys. This is actually Michael Baresich on for Phil. Thanks for taking my question. I just wanted to circle back to customer success services. Any way you can quantify the impact that rolling that out had in the quarter, and how much of that should we expect to see in the second half of this year? Thanks.
David James Henshall - Citrix Systems, Inc.: Sure. Yeah. Overall, I think it's going quite well. I mean it's just to remind everyone, we announced a voluntary migration in the first half of the year. We had a couple of promotions going. In the second period, roughly 40% of customers that were renewing chose to renew on CSS, versus their option to renew on subscription advantage. The uptick in price we saw on an ASP basis was about 19%, so it's moving exactly as we expect. The mandatory migration starts right now in the beginning of Q3. So this is the part where we're being just a little bit cautious to make sure that we understand any potential impact to renewal rates or ASPs. But as of right now, we haven't seen any degradation. We feel very good about it. Our challenge is just make sure that we're out and educating customers along the way. So feel really good, good progress and we'll see over the back half of the year.
Michael Baresich - Wells Fargo Securities LLC: Great.
Operator: Your next question comes from Kash Rangan with Bank of America Merrill Lynch.
Kash Rangan - Bank of America Merrill Lynch: Hi. Thank you very much, David, and congratulations on taking over CEO position. As we look into 2018, what are the strategic changes that Citrix is going to embark upon? Are you going to go for – obviously looking at your statements with the management changes you're going to realign the operating cost structure, but is there a revenue side of the story that you wish to share with us given that this is your first opportunity as CEO of the company? And also, how should we thinking about the percentage of license bookings and Workspace services that should come from subscriptions? Clearly up at 30% up from 15% a year earlier. Is this the kind of tipping point we should be expecting in 2018 as the business because majority bookings from the cloud? Thank you.
David James Henshall - Citrix Systems, Inc.: Sure, Kash. First off, thank you. I appreciate the support. Second, in terms of – you had a number of questions in there, and I'd probably bucket all those in the context of our multiyear plan. I mean, the leadership team right now is working aggressively to lay out what is effectively a 2020 plan. And within that, we're looking at the pace at which we want to shift to a subscription-based model, both in a hybrid fashion and in pure SaaS. We're looking at where we can (19:43) accelerates margin expansion over that three-year timeframe, and as I mentioned earlier, we're looking at capital in the context of that as well. So a lot of work to do. We're doing that over the course of the next three months. We'll talk about it on the quarter. We see a lot of opportunities. We see opportunities to not only run the business more efficiently but to actually deliver an acceleration of customer value by migrating them to the cloud. If you think about some of the transitions we've already started making in the last few months around reorganizing the engineering team, the product teams and all these others. And as I said to Rob's question, that's going to accelerate our ability to innovate and deliver tightly integrated solutions on a faster time scale. And that's important because frankly that's what customers are looking for right now. So I'd say stay tuned. Give us three months to finish out this plan. Overall, we're excited about where we can go and we think there's opportunities both to accelerate revenue and deliver leverage expansion over the next three years.
Kash Rangan - Bank of America Merrill Lynch: Conceptually, David, I appreciate that it's going to take some time to get some detail, but conceptually will the shift to a subscription business model mean that you're going to have to take a bit of a pause in earnings growth rate, or should we be thinking about you balancing both these, this shift as well as your stated growth (20:59) for growing earnings? That's it for me. Thank you.
David James Henshall - Citrix Systems, Inc.: Kash, let us do the work, and then come back with some real specifics. So we're not...
Kash Rangan - Bank of America Merrill Lynch: Okay. Got it.
David James Henshall - Citrix Systems, Inc.: ...making it up. But what I will say around that is you look at the last three quarters, as a percent of product mix, we've gone from 10% to 20% to 30%, and that's a reflection of customer demand, it's a reflection of making it comp neutral, and it's a reflection of really where we're going. I will say for the balance of this year, we'll probably settle out somewhere around this 30%, 35% of the mix for the back half. And as we go into next year, we're going to be much more programmatic in terms of how we're driving alignment with both our field-facing teams as well as our partner network, how we're aligning the offers and we're aligning incentives. But in terms of the output, we're still working on it, so we'll come back in a few months and just lay out metrics, as well as a three-year expectation for revenue and margin and EPS at the same time.
Operator: Your next question comes from Michael Turits with Raymond James.
Michael Turits - Raymond James & Associates, Inc.: Hey. It's Michael Turits with Raymond James. Thanks a lot. Hey, David, can you talk about the expense profile throughout the rest of the year? Guidance is fairly flat on EPS into next quarter, so can you talk about what's going on there in terms of investment as well as the impact of this mix to the subscription?
David James Henshall - Citrix Systems, Inc.: Sure, Michael. In terms of top line, like I said just a second ago, we're assume about a third of the mix is going to be coming via subscription on a go-forward basis, that's what it looks like in Q3 and in Q4 as well. We're working hard on expenses right now. We were running hot in the first half of the year. Some of that's variable expense because as we're migrating to the cloud, bookings are running ahead of plan but we're paying all the variable comp and commissions upfront and recognizing the revenue over an extended period. There's also been a number of investments in other parts of the business, and the leadership team is working on where do we prioritize and where do we focus on the back half of the year. So again, I'd say stay tuned. The core takeaway is that business has been very strong, but the subscription mix is moving faster than we anticipated, more than double the pace that we were expecting a year ago. So that's going to impact the P&L in the short term.
Michael Turits - Raymond James & Associates, Inc.: And a follow-up question, I think Rob had asked you about the security strategy in NetScaler, but one of the things you guys mentioned at the Analyst Day, too, was the need to somehow dampen out the volatility that comes from the cloud customer's base for NetScaler in Networking. But what are your thoughts on how that customer base will trend over the next year or so? And what you can do to do that dampening?
David James Henshall - Citrix Systems, Inc.: Sure, Michael. I mean, we didn't get into a whole lot of details on the prepared remarks, but when you look at networking in total, there's a couple of things that I would point out. First, in the aggregate, there's a little bit of a headwind, about a $10 million headwind from some portfolio rationalization we did a year ago. That was the last big quarter for ByteMobile and so that one is effectively zero right now so we got a little bit of a headwind there. In terms of the overall business, I mean, we did make a pass at the investments last year across what is largely enterprise accounts. The fastest-growing part of the networking business has been in pure play. So if you think about our kind of three main markets, service providers attached to other Citrix solutions and what I would call pure-play ADC, the pure play was up strong double digits in the quarter so we're actually being able to engage and win in a much greater number of competitive transactions. And part of the reason there is just simply what we've said for the last several quarters. We've got a software-based platform that allows customers to have much more flexibility. We're not relying on a rip-and-replace hardware cycle for growth at this point in time. We've got a number of different innovations that we've brought forward like MAS, our Management Analytics System, which provides a nice competitive differentiator. We've created pooled-capacity licensing so customers can share capacity across their cloud and prem models, and a number of other innovations is allowing us to grow pretty aggressively. So that's what we're doing so that's the primary strategy, expand the base and drive share, and we've been successful over the last couple of quarters doing that.
Michael Turits - Raymond James & Associates, Inc.: Great, David. Thank you.
Operator: Your next question comes from Mark Moerdler with Bernstein.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Thank you. And Dave, congrats.
David James Henshall - Citrix Systems, Inc.: Yeah. Thanks, Mark.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Got a question and a follow-up. If we look at new subscription revenue that was sold in this quarter, and if it instead been as licensed, how could we think about the impact on the revenue for the quarter, and frankly, how could we think about the revenue effect of the transition for the year as you guided it? And then a follow-up.
David James Henshall - Citrix Systems, Inc.: Mark, it's an imperfect number so that's the caveat. If you were to look at all things that were delivered via subscription and you were to change that to a perpetual license, it's probably approaching $100 million for the year. But I want to put the caveat on that that there will always be some level of subscription. So it's a little bit apples and oranges, but that's an approximate number the way to think about it. Best way to measure the business in the short-term is look at the other metrics. Not just reported revenue but the fact that deferred revenue was up 13%, roughly 10% current, 20% long-term. Billings growth was 8.5%. We did have double-digit bookings growth across all three of our main businesses so the underlying trends have been positive.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Okay. And if we look at maintenance contracts or percentage of maintenance that's up for renewal for the second half of the year, can you give us a sense of what that would be?
David James Henshall - Citrix Systems, Inc.: It does tend to be more back-end loaded. So I don't know the exact number off the top of my head, but roughly it would be 60%, maybe as much as 65% of the renewal pool would come up in the Q3, Q4 timeframe.
Mark L. Moerdler - Sanford C. Bernstein & Co. LLC: Okay. Thank you.
Operator: Your next question comes from Kirk Materne with Evercore.
Kirk Materne - Evercore Group LLC: Hi. Thanks very much, and my congrats, David, on the new role. Just two quick ones for you. First, I assume you guys are going to be taking a longer-term view of the operations and the opportunity in the Cloud. I assume there's going to be no real change to the sales or the sales organization between now and the year-end. Is that a fair assumption?
David James Henshall - Citrix Systems, Inc.: I'm not exactly sure what you're talking about, Kirk. But, overall, I'd say if you look at the field organization, and the big takeaway is that we're executing now internationally whereas we had been driving a lot of the growth domestically over the last couple of years. As we've talked about, a lot of work went into the U.S. back in the 2013, 2014, 2015 timeframe. We started that work later in the international markets and now they're delivering significant growth. EMEA was up mid-singles, APJ had the second double-digit quarter in a row, and those teams are really coming together and starting to jell. I'd say in terms of the actual focus from the teams, we've made it comp neutral in terms of selling subscriptions versus perpetual license for the most part, and so we're not really trying to drive one or the other. Obviously, as we go through a more longer term transition, we'll be thinking about that in more ACD terms versus TCD. But that's a transformation that's 2018, not 2017.
Kirk Materne - Evercore Group LLC: Okay. That's helpful. And then just your comment on variable costs just I guess in the first half of the year running ahead of plan. Is that solely due to the fact that you've seen a mix shift towards cloud-based and subscription contracts so that the cost associated with that isn't matching up necessarily with the rev rec, or are you guys potentially running a little bit ahead on, say, more discretionary costs as well? I'm just trying to get a sense on is the overspend directly sort of related to this mix shift, or are there some things you guys could pull back on in the back half of the year as well? Thanks.
David James Henshall - Citrix Systems, Inc.: No, it's the latter, Kirk. It's not just the mix shift. I mean, we're running ahead on our original bookings plan and we've also taken some discretionary expenses as well. So we have the ability to moderate expense growth and do that in a way that expense growth looks more close to revenue growth.
Kirk Materne - Evercore Group LLC: Thanks a lot.
Operator: Your next question comes from Gregg Moskowitz with Cowen & Company.
Gregg Moskowitz - Cowen & Co. LLC: Hey. Thank you very much and congrats to David as well. Just on the guidance and doing some quick math, it looks, David, like you're expecting a modestly greater than seasonal revenue ramp on a sequential basis in Q4, and if I'm not mistaken, a fairly large sequential decrease in Q4 OpEx in order to get to $4.60 to $4.65 for the year. Can you walk through your revenue and OpEx assumptions and then just outline what gives you the confidence that you can get there?
David James Henshall - Citrix Systems, Inc.: Yeah. Two things, in terms of the top line, it's a reasonably seasonal ramp for the enterprise business. I think the thing that's masked that for a lot of people as they looked historically is how much was coming off of SaaS from the GoTo properties. Besides that, we're just looking at things coming off the balance sheet plus the current bookings forecast. We are building up more and more off the balance sheet so that will provide a cushion over time as well. The place where you're going to see that hit the P&L is most directly through the SaaS line. That number has started to accelerate over the last couple of quarters and I would expect that as we go into the back half of the year, we'll exit north of 40% growth in SaaS revenue for Q4 as well. So that's a place you'll start to see that come back in. In terms of OpEx, I don't want to get into any details. Like I said, we're looking at prioritization and where we're going to drive spending in the back half.
Gregg Moskowitz - Cowen & Co. LLC: Okay, thanks. And then just as a follow-up, what was the unit growth in Workspace Services this quarter? I would imagine that there was again a significant variance between units and revenue due, of course, mainly to the shift in cloud, but any color there would be helpful. Thanks.
David James Henshall - Citrix Systems, Inc.: Yeah, unit growth was strong. It was low double-digit unit growth.
Gregg Moskowitz - Cowen & Co. LLC: Terrific. Thanks very much.
Operator: Your next question comes from Keith Weiss with Morgan Stanley.
Josh Baer - Morgan Stanley & Co. LLC: Hi. This is Josh Baer on for Keith. Thank you for taking my question. Some of my conversations this quarter picked up on some more aggressive pricing on Workspace Suite and NetScaler, that helped Citrix win several competitive deals. I'm just wondering if you could help walk through any changes to pricing promotions, as well as the competitive environment in the quarter?
David James Henshall - Citrix Systems, Inc.: Yeah, Josh, I can't talk to the individual one-offs. I mean, there's always situations where every large deal as you'd imagine is highly competitive. We do tend to be the higher priced competitor. We don't lead on price, historically, so I'd have to understand more detail to give you a specific answer. But I looked at ASPs coming out of the quarter, and for the most part, ASPs are unchanged as to where they were a year ago. So in the aggregate, not a big shift. At a micro level, yes, it's a hypercompetitive environment right now. I mean, there is almost never a transaction over a couple hundred thousand dollars that isn't a head-to-head bake off with some other competitor. We are not going to win on price. It's not a long-term strategy. We're going to win on integrations and features and performance. We will get aggressive on price if we have to in some circumstances like everyone will, but that's certainly not our strategy.
Josh Baer - Morgan Stanley & Co. LLC: Very helpful. One more if I could. What were some of the dynamics on the tax rate in the quarter? I know you were talking about international strength, wondering if it's a geo mix.
Mark M. Coyle - Citrix Systems, Inc.: Yeah. It was largely a transaction in our Swiss subsidiary that was a statutory adjustment that drove our tax rate offshore with about $0.08 improvement for us in tax rate at, I think, about 13%.
Josh Baer - Morgan Stanley & Co. LLC: Thank you.
Operator: Your next question comes from Abhey Lamba with Mizuho Securities.
Parthiv Varadarajan - Mizuho Securities USA, Inc.: Hi, guys. Thanks. This is Parthiv Varadarajan. Can you maybe talk more high level about the role of the Operations and Capital committee that was recently formed? I guess, what incremental opportunities have you identified so far and what kind of time line can we expect?
David James Henshall - Citrix Systems, Inc.: Yeah, I mean, the Operations and Capital Committee, we created another committee on the board to help management as we accelerate some of our multiyear planning. The focus is going to be around looking at our cloud transformation and helping us test a lot of those assumptions, operations in the P&L as it relates to margins and other. We'll work with them on capital planning, and we'll work with them on helping vet M&A ideas. So just to work collaboratively with the leadership team. I wouldn't anticipate that you're going to have any large announcements from this, but it's just in the context of us transforming the business and doing it as quickly as we can.
Parthiv Varadarajan - Mizuho Securities USA, Inc.: Okay. Perfect. Thanks.
Operator: Ladies and gentlemen, we have reached the end of our allotted time for questions and answer. I would now like to turn the call back over to management for closing comments.
David James Henshall - Citrix Systems, Inc.: Well, thank you again for joining us today. We hope that everyone is excited as we are for the next great chapter in Citrix's transformation. I'd say we're moving quickly. We're driving customer value, and we're really looking forward to sharing the details of our multiyear plan with you at the end of this quarter. Thanks again. Talk to you in three months. Thank you.
Operator: Thank you for participating in today's Citrix conference call. You may now disconnect.